Operator: Good morning, good afternoon, ladies and gentlemen, and welcome to the Sasol Year-End Financial Results Conference Call. Today’s call will be hosted by David Constable, Chief Executive Officer and Christine Ramon, Chief Financial Officer. I would like to remind participants that we will be connecting to a live meeting in Johannesburg. Following the formal presentation by Sasol management, an interactive Q&A session will be available. A copy of today’s slide presentation is available on www.sasol.com. (Operator Instructions)
Raj Naidu: Okay. Good afternoon, everyone, and welcome to Sasol Ltd.’s Results Presentation. I’m Raj Naidu, Executive, Investor Relations. Today, David Constable, Chief Executive Officer; and Christine Ramon, Chief Financial Officer will present our results for the financial year ended 30th June, 2012. They’re also joined by Nolitha Fakude, Johann Strauss, Andre de Ruyter and Bernard Klingenberg as well as other members of our Group Executive Committee as well as some managing directors and functional leaders. Before we proceed, in the case of an emergency, please exit by the main auditorium doors and follow the exit signs, the emergency exit back to the left and right of the auditorium, and there will be safety marshals to also guide you around the process. Before David takes the podium, we want to showcase some of our recent projects in a short video. (Video Presentation)
David Constable: Well good afternoon everyone. Thank you for joining us to discuss our Year-end Results Presentation today. As you’ve seen in the videos, Sasol is a great organization and it is delivering results not only here in South Africa but also as we expand globally. As a company, we are committed to exercise excellence in all we do and we now that in working in partnership with others, we are better able to deliver exceptional results on on-going basis. I’ve been with Sasol just over a year now and it is certainly, have been both an eventful and exhilarating first year. Today, we will be announcing record full year earnings as you know and before I begin, I would like to recognize and congratulate and thank all staff of people throughout the world for their dedication, hard work and perseverance in the past financial year. We’ve been through a lot together – from strikes, to plant instabilities, from a continuing global economic crisis, to factions and from volatile commodity prices to softening product demand, especially in our chemicals businesses. Notwithstanding a year of ups and downs, as an organization we ended our 2012 financial year in solid platform. Let me start with an overview of what you’re going to hear today. First of all, our record full year earnings are due to the fact that notwithstanding the challenges we faced, particularly in the first half of the financial year, we delivered on several key milestones both in South Africa and abroad and significantly, improved our operational performance in the second half. We’ll expand on both of these areas later in the presentation. Next, we’ll highlight our strategic agendas better aligning the organization, how we intend to execute on our agenda through our FY 2013 priorities. We’ll wrap up this afternoon’s session by summarizing why Sasol remains an extremely compelling investment proposition. To frame our key messages today, I’ll begin by providing with a high level overview of what we delivered in FY 2012. Christine Ramon, our CFO will go into more detail on the financial and operational performance of our businesses. I’ll then come back up to talk you through Sasol’s strategies and initiatives in the near to medium term. In particular, I will highlight why we see North America is our next frontier. We’ll then open it up for any questions you’d like to ask us. Looking now at the graph on the screen, you’ will note that in the past 20 years, we’ve seen strong growth in emerging countries which in turn has fueled demand for many resources including oil. As a result and unsurprisingly since 1990, oil consumption has grown rapidly in India and China and in other emerging countries. And these countries development, their populations expand, their demand for energy will continue to increase. However, we should not lose sight of the fact that the current per capita consumption in these countries remains a fraction of OECD levels which will also continue to grow. Furthermore, as global income levels increase, so too will the demand for oil. If these trends are to persist, by 2030, India and China’s oil consumption will increase to about 11 million barrels per day which is equivalent to Saudi Arabia’s current oil production. Clearly, the anticipated supply gap, the situation created must be bridged. Globally, there are abundant supplies of natural gas which can be developed at relatively low-cost given our current reality, gas development is the path to take. So this mix of forces, we had the delinking of the oil gas price ratio and the abundance of gas at relatively low prices in North America. With natural gas front the center of the energy, future looks bright, and Sasol is well-positioned to capitalize on this growth in demand. Turning to contributions we made globally as an international integrated energy and chemicals company, we leveraged the talent and expertise of more than 34,000 people working in 38 countries. We developed and commercialized technologies and build and operate world-scale facilities to produce the range of high-value product streams including liquid fuels chemicals and lower-carbon electricity. Sasol’s operations has become a catalyst for socioeconomic development far beyond the employment we provide. We have strong relationships with the business communities and the government of the countries in which our people live and work. Working together, we deliver, first of all, energy supply and socioeconomic development, secondly, a viable alternative to ensure cost-effective energy security, and downstream manufacturing growth, and third, in-country investments and use of resources. These in turn lead to significant skills transfer to the local workforce while delivering world-class products. More specifically in South Africa, our home base, Sasol makes a positive contribution on many fronts. We remain one of the largest corporate tax payers in the country. In financial year 2012, we paid ZAR28.2 billion in direct and indirect taxes to the South African Government. Notwithstanding our international growth aspirations, we continue to invest a majority of our CapEx spend in South Africa. This past financial year, we increased our in-country CapEx by 14% to ZAR18.8 billion. We invested ZAR819 million in skills development, not only to up skill Sasol people but also the people who live in the communities we operate in. And we’ve committed close to ZAR310 million to start socioeconomic development initiatives in South Africa in FY 2012 alone. We’ll start around going commitments to our home base. We are equally dedicated to the country’s transformation agenda following the Department of Mineral Resources recognition of our employee share ownership program. Today, Sasol mining’s BEE ownership is in excess of 40%, clearly surpassing the mining charter requirement of 26% by 2014. And finally, we were proud to be a team sponsor of the 2012 South African Olympic and Paralympic teams assuming well done goes to out to the men and women in green and gold who did both South Africa under sponsored companies very proud. As much as we continue to touch many facets of life through our contributions globally, we are also delivering on our key milestones both in South Africa and abroad. Let’s first look at what we delivered in terms of our global projects in the second half of this past financial year. In Uzbekistan, a FEED work for our GTL project Oltin Yo’l, which means golden road in the local language in Uzbekistan, references the old trading routes of the seventh century B.C. That FEED project is progressing according to schedule. The FEED phase, especially be completed during the second half of the 2013 calendar year. On to Canada, we have completed the feasibility study for our GTL project. We’re currently assessing the outcomes of the study and we’ll make a decision as to whether to proceed the FEED in the coming months. Turning to our project in Louisiana in the U.S., the feasibility studies for our integrated GTL and chemicals facility as well as our world scale ethane cracker, they’re progressing and coming to closure expect news flow on these exciting projects towards the end of this calendar year. In Mozambique, we have successfully expanded the capacity of our onshore central processing facility in Temane from 120 million to 183 million gigajoules. Building on the success of the expansion efforts in Mozambique, our Sasol new energy business is developing additional gas-fired electricity generation in partnership with the countries state-owned power utility EDM. And the final investment of this business expected in the second half of the 2012 calendar year on this initiative. Next, moving on to our key milestone in South Africa this past half year, our ZAR14 billion mine replacement project in the cocoon is making good progress. In May, we inaugurated a ZAR3.4 billion Thubelisha mine shaft at our Twistdraai Colliery. The shaft will extend the life of the colliery beyond 2039 and will support the long-term coal supply for Sasol Synfuels as well as the export market. This past, the synthol’s growth project has delivered positive initial results with the commissioning two new gasifiers, the 17th reformer and the gas turbines. And that follows the successful start up of the 10th Sasol advanced synthol reactor and the 16th oxygen train. All these newly installed equipment has already played their part in assisting to improve plant efficiencies during the second half of FY 2012 as you saw on the numbers. Our gas-fired power project at Sasolburg which will produce 140 megawatts of power using natural gas is well on track. The project will replace coal-fired power generation and enable Sasol to reduce its CO2 emissions by another 1 million tons per year. That’s the total reduction of 11 million tons annually for the group off the 2004 base. As a result of this and other projects, we will be able to generate 60% of our electricity requirements in South Africa by next year. The common theme that runs through all of our projects is the importance of working closely with our partners, be they joint venture partners, suppliers, governments, regulators or our own Sasol (inaudible) throughout the world. Change of operations highlights, and as I said earlier, Sasol has delivered a solid operational performance despite some challenges, our international operations delivered improved production performance. The ORYX GTL plant continues to achieve new production records coupled with an impressive safety recorded rate of 0.0 in the last day or 65 days. In April and May, the monthly average production of 34,000 barrels per day surpassed the plant’s nameplate capacity of 32,400. Yesterday, I had the opportunity to briefly meet with the Qatari Minister of Energy, Minister Al Sada, who’s in South Africa for the ORYX board meetings. Tomorrow evening we’ll be hosting a dinner to officially recognize the outstanding production safety performance of our flagship GTL venture. In around, Arya Polymer’s achieved utilization rate of 84%. Our discussions within can say that our Arya facility is in an advanced stage. And we hope to be able to update you later this year on these discussions. At Synfuels in South Africa, decisive management action and improved plant efficiencies during the second half resulted in a production performance of 7.2 million tons. Also encouraging is the fact that the production run rate of 7.6 million tons in the second half is the best in five years at Synfuels. Lastly but most critically, safety improvement remains a strategic imperative for sustainable and competitive operations as we talked about before. At the end of June 2012, our recordable rate excluding illnesses from employees and service providers was 0.35. This is comparable to our recordable rate last year of 0.37. The steady improvement in our safety records is testament to the collective efforts of our people notwithstanding the implementation of business units specific safety improvement plans delivering these positive outcomes in all safety categories. We’re making every effort to maintain this trend and to keep our people and service providers safe. Before I hand it over to Christine in terms of our overall FY 2012 results, let me just begin to summarize. We saw a significant improvement in the production performance for the second half. Cash fixed costs in FY 2012 were in line with inflation. Our operating profit was up by 22% to ZAR36.8 billion. Now, an influencing factor here, as you saw, was the impairments and the incremental depreciation charges we incurred on our Canadian gas assets in the second half. Christine is going to give us some more color on these impacts in a few minutes. Headline earnings per share were up 25% to ZAR42 – ZAR4.28, a new record high for the full year. And cash generated by our operations were up 24% to ZAR47.9 billion, enabling an increase in the dividend of 35% to ZAR17.50 per share, a new record also, and which remains aligned with our progressive dividend policy. With that, let me now hand over to Christine who will unpack our results in a little more detail. Christine? Thanks.
Kandimathie Ramon: Thanks, David, and good afternoon everyone. It’s certainly my pleasure to present another solid set of results to you today amidst of all these challenging environments. Before discussing the results in detail, I’d like to make some introductory remarks. Firstly, management continued focus on costs and operational performance has enabled delivery on our stated performance target. Second, our second half profits were significantly impacted by once-off charges and extraordinary effect, exacerbated by lower chemical prices and depressed U.S. gas prices. And finally, our strong balance sheet continues to position Sasol well to pan growth amidst the still volatile and uncertain global macroeconomic environment, as well as deliver superior returns to our shareholders through our progressive dividend policy. The past year was characterized by a predominantly favorable but volatile macroeconomic environment. The global economy remained weak with the European debt crisis has taken its toll. China has experienced lower growth whilst there has been a slowdown in the U.S. recovery. Despite this, oil and commodity prices were strong throughout most of the financial year with the rand-dollar exchange rate being 11% weaker than last year. The chemical’s market are either challenging with chemical prices softening on the back of weaker demands and downstream markets. Capitals with higher feed stock prices, this lead to an industry wide margin squeeze. . And we have gas prices were lower, reflecting the ever increasing disconnect between crude oil and gas prices in the U.S. Although this did have a negative impact from our Canadian operations, in the short term, it certainly remains positive for our GTL value proposition in the longer term. South African PPI for the past year averaged at 8.6% while CPI was 5.9% and although a weaker rand-dollar exchange rate is overall positive for our profitability and contributed to an already challenging South African cost environment. Assured, we remain – we do remain sensitive to changes in the oil prices in the rand-dollar exchange rate and I’ll remind you of our sensitivity for its color and I think quite importantly is that we do issue this with a health warning in volatile market. While everything seems changed in the annual average rand-U.S. dollar exchange rate, it will affect our operating profit by approximately ZAR800 million and for every dollar per barrel change in the annual average crude oil price, it will affect our operating profit by approximately ZAR580 million. We see that the group achieved a 23% increase in operating profit despite the plant incident and an industrial action in Secunda during the first six months of the financial year. And this was compounded by devious once-offs and exceptional charges which I’ll actually talk through in the next slide. Importantly, our second half profitability reduced by approximately ZAR4 billion compared to the first half. Our international energy cluster was negatively impacted by non-cash costs relating to our Canadian upstream operations, which shadowed the strong performance from ORYX GTL. Our chemical businesses experience challenging market conditions as I alluded to previously. But despite this, they delivered an overall solid performance and continued to sustain a meaningful contribution to the group operating profit of about 17%. Overall, contribution from our international businesses amounted to 25%, which includes the Mozambiquan value chain to group operating profits with Europe, North America, and the Middle East being the main contributors. This certainly reinforces the robustness of our geographic diversification strategy, which brings good balance to our portfolio. As mentioned, our operating profit was significantly impacted by once-off charges. And if one had to exclude the impacts of these items, operating profits would have been 9% higher. During the second half, although we achieved good operational performance, operating profit was significantly impacted by reduced chemical prices, translation losses, once-off charges, and year-end adjustments. Chemicals profits were down 50% in the second half of the financial year. Discussing the bars in moving from left to right on the chart, we see that exchange rate adjustments included positive year-end closing rate adjustments, which were offset by forward exchange losses and an extraordinary negative market rate adjustment in respect of our efforts in Iran. With regards to once-off period adjustments and depreciation, these include mainly the partial impairment and higher depreciation charge of our Canadian shale gas assets, as well as the impact of year-end stock movements, other re-measurement items and an increase in our provisions for rehabilitation of about ZAR700 million. Finally, the study in growth costs related to our feasibility study costs and that was primarily attributable to our growth projects, and these costs are usually expensed before any investment decision is made. Moving on to cash fixed cost, which is the key driver for us. We see that normalized cash fixed cost have been contained due South African PPI inflation of 8.6% and that was despite a challenging cost environment, and that was even taking into account the extraordinary plant maintenance and related increased electricity cost. The impact of the weaker rand added about 2% due total cash fixed costs. As you know, the main drivers in our business on labor – the main cost drivers rather are labor and energy cost with labor comprising approximately 60% of our total cash fixed cost base. Labor cost per head increased by about 7.6% per employee and energy inflation in the past year was 22.9%. Wage agreements with the labor union for financial year 2013 range from 7.5% to 8%. One of our key strategies to contain electricity cost in the future is to become more self-sufficient by generating more electricity for our own requirements. We have the capacity to generate about 50% of our own electricity requirements and we will be ramping this up to 60% in calendar year 2013, as David mentioned earlier. In addition to improving production reliability, further cost savings will be achieved through our functional excellence program which is in a stabilization phase and has today delivered in equities of ZAR1.2 billion in cost savings. Our step consolidation project is critical to sustaining these savings going forward. The South African energy cluster underpin the group’s profit and cash flow generation contributing almost 80% to group profitability. The SA energy business has improved profitability by 45% and mostly expanded operating margins. Moving on the Sasol Mining, we see that excluding the prior year impact of the . ex-year BEE share-based payment, mining’s profit increased by 41% on the back of higher sales volumes and prices to Sasol’s Synfuel. Production volumes in this business were maintained despite industrial action and adverse geological condition. Synfuels contributed three-quarters of the SA energy’s clusters operating profit and both had an operating margin of 45%. As David said earlier, synfuels benefited from an exceptional production performance which came after the top end of our guidance given and higher average rand oil prices. The cash cost per unit in synfuels increased by 16% largely as a result of higher feedstock costs which is largely internal to the group in addition to normal business inflation and additional maintenance. The international energy cluster is our growth engine and we continue the investment for growth in the form of feasibility studies and exploration expenditure. ORYX remains the flagship for our GTL technology driving some fueled international profits higher on the back of both increased volumes and higher oil and product prices. David spoke about the production record achieved that are exceeding demand capacity and thereby reinforcing our GTL value proposition. SPI’s results were negatively impacted by depreciation and impairment charges relating to Canada as well as the write-off of exploration efforts in Mozambique and Australia. Although we are delighted with the additional volumes of about 14 billion gas produced from our Canadian shale gas venture, the assets in Canada remain under pressure in the short term due to depreciated natural gas prices in the North American market. Depreciation is based on actual production and approved availability reserve estimate and has a material impacted adding about ZAR1.3 billion to SPI’s total depreciation. We also accounted for a partial impairment of ZAR964 million, amounting to approximately 8% of the carrying value of the Canadian gas assets. We have been more conservative in the valuation and depreciation ahead of our future gas to liquids investments decision, and this approach is in line with other oil and gas majors that have exposure to the North American shale gas assets. We will continue to review the valuation of these assets, taking into account the key drivers being changes in the North American gas prices, our drilling and exploration program, and the rate of production. Moving on to our chemicals business performance, we see the chemicals optimized margins despite the challenging market conditions reflecting weaker demand. Margins were under pressure as input costs have increased, and as a result, most chemical companies have seen a decline in profitability. The risk to the chemicals business remains in high Europe response to recede prices process, and the aspect remains uncertain in that regard. Chemicals reported a 25% decline in operating profit, and a contraction in operating margin. The biggest negative effects for profit were realized in the second half of the financial year. Our polymers business was hardest hit by fair gross margin with the average above oil with the Far East polymer basket seeing $300 below the established long-term trend. Sasol Polymer’s operating profit declined due to the local polymers business loss in excess of ZAR1 billion, being under pressure as a result of lower international polymer prices. Despite lower production achieved during the first half of the year, the second half saw a number of production record being achieved in the South African business, resulting in an increase in sales volume for the year. Both the EPU5 AND THE C3 stabilization capital projects which are expected to come on stream at the end of calendar years 2013 and 2014, respectively, will improve the feedstock availability for the local business. Arya Sasol, our joint venture in Iran, contributed about ZAR1.6 billion to operating profits, with the total international operations’ operating profit being ZAR1.864 million. Arya Sasol’s profits – sorry, Arya Sasol Polymers ramped up to design capacity during the year, and reported an average capacity utilization rate of 84% for the year, and that was well within our targeted range. David spoke about the divestiture process in relation to these assets and we will make announcements in that regard at the appropriate time. Although this operation’s contribution is significant to polymers, it remains a relatively small contributor at group level, contributing about 3% to group operating profits. With carrying value of assets of around ZAR4 billion at year end and that includes a foreign currency translation reserve of $120 million, which is subject to exchange rate fluctuation. The carrying value of these assets will increase by additional profit post year end. And dependent on our further negotiation will determine if impairment is necessary once the disposal process has been finalized. O&S remains the largest contributor to the chemicals cluster’s profits, contributing about half of the profit. Despite weaker market condition, the business reflected a healthy operating margin of 8.5%, well within our targeted or our guided range previously of 7% to 11% operating margin through the cycle. Our growth strategy is gaining momentum as reflected in our increased capital investment for the financial year of ZAR29.2 billion. We have maintained our capital investment estimates for 2013 of ZAR32 billion and estimated capital expenditure for 2014 as $34 billion. Approximately two-thirds or 68% of these capital investments will be spent in South Africa and a large portion of future growth capital investment will be allocated to growth projects in the international energy business which is in line with our accelerated GTL growth strategy. In line with our strategic agenda and also the growing of chemicals based on feedstock market and/or technology advantage and we see growth in the capital allocation for chemicals in this regard. Through our capital excellence programs, we are applying both prospectuses in areas of portfolio management, project execution support, and we are establishing a project academy. We are pleased to note significant early gains especially in terms of avoiding capital cost and improving project benefits. Our healthy cash generation ability certainly positions Sasol quite uniquely to fund our capital investment without having to dispose of assets, as well as grow dividends. In addition, in the current plan, we continue focusing on strengthening our working capital management and monitoring credit exposure and counterparty growth. Our gearing remains low at 2.7% and we have sufficient headroom in our balance sheet to provide for a buffer against volatility, fund selected growth opportunities, as well as grow dividends to shareholders. As reflected in the chart on the right, we’ve remained committed to deliver on our stated targeted returns for capital invested which is evident from our track record of exceeding our IRC target for the past three years in a row. Our record dividend of ZAR17.50, up 35% from last year, this market consist of expectations and reflects our commitment to our progressive dividend policy. This translates into a dividend yield in excess of 5%, positions and petitions as part competitively with our peer group, reinforcing our commitment as a bridge of company to deliver superior shareholder return. This is also evident by our leading total shareholder return of 53% in rand terms as calculated over the past five years. Ending with the FY 2013 profit outlook, we certainly continue to focus on the factors within our control in the continuing challenging environment. In terms of production guidance, synfuels remain on track to deliver between 7.2 million to 7.4 million tons of product, factoring in a phased shutdown. And this is in line with our production guidance given previously. Internationally, ORYX is expected to maintain full-year utilization rates of between 80% and 90% of nameplate capacity while Arya Sasol Polymers will exceed 80% utilization rate. Importantly, we will be growing our volumes in Canada once gas prices trigger further economic development. Although the South African cost environment remains challenging, our aim remains to contain normalized cash fixed costs within South African PPI inflation. On the macro environment, we’re socially cautious because of the volatility and uncertainty, although we believe that there could be potential upside on the oil price giving geopolitical activities. The Eurozone uncertainty certainly being closely monitored by us and mitigating steps have been taken when necessary. In conclusion, management’s strong focus on cost containment, operational performance and controllable margin improvement has delivered improved profitability and ensures sustainable performance. Our strong balance sheet and healthy cash flow positions Sasol uniquely to withstand the current volatility as well as fund selected growth opportunities and deliver attractive returns to shareholders. Thank you, and over to you, David.
David Constable: Thanks, Christine. Our strategic agenda continues to serve us well obviously. With Sasol, our primary strategic focus is to increase shareholder returns on a sustainable basis. We achieve this by, first enhancing our existing operations which form an integral part of our foundation pillar you see there. And second, accelerate our growth aspirations under our sustainable growth pillar. Our group imperatives, down the side, described what – is we must focus on to ensure our overarching definition of victory is secured. Operations excellence, here, we continue our drive to ensure the reliability, stability and maintainability of all of our facilities. As Christine mentioned earlier, to capital excellence we strive to attain excellence in capital allocation and we’ll concentrate execution delivery. With business excellence, we look to enhance our overall approach to doing business. This one should and we know exactly what levers to pull to maximize financial impact. And to embed values-driven organization, this imperative has been expanded and now focused on our shared values being driven by everyone in the company. To execute on our strategic agenda, our annual top priorities are key. Looking at FY 2013, you’ll note that our priorities cover five areas: number one, improving safety performance; number two, enhancing operational performance; number three, accelerating sustainable growth; four, driving a high performance culture in Sasol; and five, strengthening stakeholder relationships. Looking at safety, in FY 2013, we are looking to further improve recordable case – the recordable case rates of less than 0.32. Through our leading indicator metrics and our safety improvement plans, we believe that zero harm is achievable. Next, we are looking to further enhance our operational performance to improve these efficiencies and cost optimization. Turning to third row, to accelerate sustainable growth, we are capitalizing on current projects and continuously identifying new ones as we go. Importantly, we seek to take final decisions on key projects in FY 2013. Next, to support us to drive a high performance culture, we need to have the right talents and the right roles, at the right time, delivering business results. To drive this culture of high performing individuals and high performing teams, we are: number one, instilling a culture of teamwork and collaboration across the entire organization as One Sasol; and two, we’re increasing focus on performance management and recognition that seeks to acknowledge outstanding performance. Moving to our final top priority, we deliver better results by working in partnership with our colleagues and our partners. Strengthening our relationships with key stakeholders is critical to our ongoing success as it underpins all of our activities. Of course, to attain our . overarching goal, we must have a healthy and focused project pipeline. I have already highlighted our key project milestones in FY 2012. What I’d like to do now is just talk about one of our non-GTL U.S. activities that you can see in the second row of our project pipeline. Last year, we announced that we were commencing a feasibility study into a world-scale ethane cracker and derivatives complex at our operating site in Louisiana. Extracting additional value from related businesses such as chemicals is vital by making the most of the entire suite of products and optimizing integration opportunities risk as spread end value is maximized. We’re maintaining it by pursuing growth, chemicals growth in the U.S. We can take full advantage of the natural gas opportunities along the U.S. Gulf Coast. Once realized, we believe this will further strengthen Sasol’s overall portfolio. So what are driving North American opportunities? With the start of today’s presentation, I explained that the growth in oil demand is signaling the end of low oil prices. One has to contrast high global crude oil prices with the advent of the shale gas boom in North America where natural gas prices are obviously kept low. Also the advances in the development of shale resources has brought a new era of hydrocarbon production that has an impact on both the global energy markets and related industries including chemicals, particularly in North America. By 2030, we anticipate that the growth in gas production would have increased by approximately 40% followed by a 60% increase in associated liquid fuels production. Sasol as we stand here today is in a position to benefit from both developments because number one, our GTL value proposition benefits from increased gas volumes, better discount to an improving oil price and creating arbitrage for double-digit returns. And number two, our chemicals growth aspirations benefit from the availability of the advanced ethane feedstock. This is why the majority of our volumes growth in the next eight years is expected to come from North America. It’s true that other players have also refocused their investment plans and asset placement strategies to leverage the increasing supply of cost compared to natural gas and ethane. In terms of us adjusting the competition, we’ve managed to establish an early mover advantage on our key projects and we find to exercise our competitive advantage that proprietary technologies favorable market positions and our existing site in Lake Charles. Of course, North America is not the only region that will provide Sasol with this type of growth opportunity. As many have heard last week here in South Africa, our cabinet announced the lifting of the moratorium on crude shale gas exploration. Sasol fully supported that moratorium which allowed the government to evaluate best practices in an unconventional gas industry. We are keen not only to review those findings but to also evaluate the potential of producing large quantities of shale gas in an environmentally friendly fashion here in South Africa. So to close, clearly, Sasol remains a compelling investment proposition. The reasons for this can be best summarized in these three columns shown on the screen. First, looking at our foundation business, this remains solid. Herewith, as Christine said, we’re continuing improving our GTL technologies specifically at our ORYX GTL plant in Qatar. We’ve demonstrated impressive gains and throughput and efficiencies. And as you’ve heard today, our businesses remain highly cash generative in support of our continuous focus on cost containment and in driving operations excellence. We have a proven track record build up over more than six decades in the alternative energy business and remains second to none in this arena. Next, our growth strategy is an attractive one. The continuously growing need for countries to secure supply of energy and this need will only grow over time for many countries, including the U.S. In country conversion of natural resources into high-value products not only in energy security but also improves the country’s economy. We have the ability to monetize hydrocarbon resources using our GTL proprietary technology. Our project pipeline already includes projects that are geared to take advantage of the demands for liquid fuels and chemicals while capitalizing on low feedstock prices. And finally, we delivered leading shareholder returns. Strong balance sheet, healthy cash flow generation continue to support our progressive dividend policy and the funding of our growth aspirations. Sasol continues to achieve leading long-term share price performance. As Christine showed you, total shareholder return over a five-year period, assuming dividends are reinvested, was 53% in rand terms and 32% in U.S. terms. Like many other companies, Sasol has been through times of the global economic downturn and volatile market conditions that unlike other companies, and thanks to the efforts of our people, Sasol has been able to successfully head off these challenges. Today, our strong balance sheet, targeted priorities and an exciting prior pipeline provides us with many unique opportunities. Tough times may lie ahead but we fully expect to weather any storm out there. And we will continue to deliver on all of our stakeholders’ expectations. So to conclude, we believe that Sasol is a company that offers a compelling investment proposition and has, as you know, over the years, repeatedly delivered results. The management team and I are both excited and confident about the opportunities which lie ahead. So with that, I think we have gone through very quick – fairly quickly, so we’d be happy to open it up to questions from the floor or, I think, on the phone lines, as well. So thanks again for your attendance today, everyone.
Raj Naidu: Thanks, David. We’ll now open to the floor for few minutes and then cross over to the conference call, okay.
Operator: (Operator Instructions)
Alex Comer: ...there tend to be with regard to the mines? Are you seeing any impacts on those problems in your own business? And also, on the topic, the ZAR1.1 billion for I think future provisions, what exactly is that? That’s the first question. And then, I was just wondering, with regard to Canada, you’ve got quite a high level of CapEx, but you obviously will be drilling that many wells. Where else is the money going into? And then with regard to the polymers business, it seems to be struggling without a great deal of confidence of a recovery. Is it time to restructure that business? That’s my three questions.
David Constable: Thanks, Alex. Let me just make sure I got the first one right, you asked about the current mine issues in the country and how that may be affecting us?
Alex Comer: Yes.
David Constable: And about the...
Alex Comer: Your comments on your wage inflation, I think 7.5% to 8% is pretty good. Yes, are you happy the – are you already happy with that and there’s not going to be any...
David Constable: Okay.
Alex Comer: Ongoing problems given, yes, obviously the strike last year.
David Constable: Okay, thanks. And then we’ll get into the future provisions and the kind of the CapEx in polymers. Let me just start on the mine issue, where we’ve successfully completed all of our agreements with our three Collective Bargaining in chemicals, and mining, and petroleum. And that was completed in early August and with both sides very, very comfortable. Mining ended up in a range of I believe, about 7.75% this year. If you total it all up, 7.75% over the – over FY 2013 and we have a very good relationship right now with all of our unions, met with all of Sasol trade union representatives, August 14, just before the . Americana incidents. And had a great session with them, talking about strategy and the way forward and what we’re trying to achieve with one Sasol approach and moving away from us and them. And gaining much more open dialog with all of our union representatives including with the CEO office and getting good feedback, making sure everyone’s voices are heard. And I think it’s going quite well and we’re certainly optimistic that we can continue that. We’re going to double up our focus on our stakeholder relationship and focus, so positive there, this ZAR1.1 billion future provisions, I think I’ll ask possibly Christine to talk through that.
Kandimathie Ramon: Yes. Thanks for the question, Alex. I just like to confirm, are you referring to the one under one source?
Alex Comer: The period is this period over incentive provisions.
Kandimathie Ramon: Yes, period incentive provisions. I suppose, these are clearly incentive provisions relating to the past financial year that it pays in the – clearly, there is a cash flow difference because it is paid in the new financial year but it relates to the prior financial year 2012.
Alex Comer: Okay. So that came – went through the P&L, so – what about...
Kandimathie Ramon: Yes. It was under employee costs, that’s with the numbers.
David Constable: Okay. Thanks, Christine. No, we’ve got some more answers first. Canada CapEx, right? We’re drilling wells out there and we’ve got a few rigs out there. I think four rigs down to three right now or – Leon, can you talk about where all that money is spent?
Leon Reddy: Yeah. Actually, quite frankly, we’ve spent quite a lot of money which we spend to sort of midstream downstream. Obviously, we have to do land clearance and the per establishment that we build the central project facility, for the gas also, a refrigeration facility for future liquids production. We’ve built a lot of internal pipelines. We had a water pipeline supply system. We’ve built a base camp and operation room, water treatment there. A lot of pre-establishment cost that we had to put in there, we’re also obviously building for a bigger size, the Northern – this related to production for today only. So there was a significant upfront in there.
Jacob Shulman: So there should be a material cut in CapEx this year than?
Leon Reddy: We’re looking forward for next year. This year’s CapEx has been fixed. We do this on an annual basis with Talisman, so that will speak for calendar year 2012. But we are looking at reducing CapEx money this year.
Kandimathie Ramon: I think just to make that point ORYX success, approximately 9% of the total CapEx estimates that I’ve given you for financial years 2013 and 2014 relates to Canada, so should be making changes in trying to influence the numbers.
Alex Comer: Thanks, Christine.
David Constable: To the last questions on Polymers and the pressure that business is under, we’ve – still we got some CapEx projects coming along to help with efficiency and more sales volume. Andre, could you talk about the Polymers situation?
Andre de Ruyter: Alex, thanks. We are doing whatever we can to improve Polymers profitability and there’s some very challenging market conditions. Christine referenced the decline in polymer pricing compared to long-term price spins. But the real fundamental factor that’s squeezing our margins relates to the fact that in rand terms, feedstock prices have gone up by 30% and our product prices have only gone up by 10%. That’s really put us under a lot of pressure in already challenging market conditions for the polymer industry globally. What we’re doing about it is we are regularly conducting a comprehensive molecule allocation exercise to confirm that placing our olefins into polymers is still the most appropriate way to go and the most profitable routes from an overall Sasol bottom line point of view, and we regularly confirm that. That is in fact the case. We’ve also taken a long hard look at our customer portfolio and we eliminated some low net back customers, and we have moved into high net back regions. And then, we are also continuously looking at cost optimization. So we’re pulling the levers that we have at our disposal. If by restructuring, you mean shutting down some of our South African plants, that would not be in the best interest of business. And we have investigated those options but they don’t make that much sense at this point in time.
Alex Comer: Thanks, Andre. Thank you.
Andre de Ruyter: Okay, great. Just raise your hands, and then the mic will come around to you, but (inaudible).
Gerhard Engelbrecht – Renaissance Capital: This is Gerhard Engelbrecht – sorry, from Renaissance Capital, Edward. I’ve got three questions around Synfuels and just maybe another one. Firstly, your production guidance for Synfuels now puts us back to where – kind of where we were in 2010. My question is when do we see the growth program kick in? The additional 3% that you really – that you’ve invested in recent years? Secondly, when do you expect the additional and extraordinary maintenance that you’re spending at Synfuels to come to an end? And then the last question on Synfuels is you are now extending the lines of your mines to what you’re saying 2039. I think that’s much longer than the Synfuels depreciable life. Do you have an estimate of how much capital you’d be spending on Synfuels to extend Synfuels’ life to match or exceed the lives of the mines? And I guess (inaudible). Thanks.
David Constable: Thanks. Right, so production, you saw a 7.2 million achieved this year on a great second half. We’re guiding 7.2 million to 7.4 million tons in FY 2013 and guiding, I believe, 7.3 million to 7.5 million in FY 2014 which will get up very close to – unless we will get up to the increases that we’re – for the growth program in FY – end of FY 2014.
Gerhard Engelbrecht – Renaissance Capital: Yes.
David Constable: But additional extraordinary maintenance. Bernard why don’t you fill us now how that’s going to play out.
Bernard Klingenberg: Yes, thanks, David. In this year, we actually made a conscious decision to spend a little more money on maintenance to see improvement of our ability and availability, and we’ve seen that a little good results. We anticipate that for this financial year 2013, the next year will continue with additional spend on maintenance and then we expect that come off, going forward.
David Constable: On the life of synfuels, we have an aspiration out there to look at synfuels going to 2050 and that takes a lot of effort on our side as far as capital goes and we’re in those – in that process right now, looking at the capital cost and working through that certainly take well into the next year to evaluate and get a better handle on it. That’s – the plan right now is to look at that type of extension and the related businesses just to support that type of aspiration. So that’s in the strategy right now.
Gerhard Engelbrecht – Renaissance Capital: Okay, and just the last question you showed quite a big currency translation going in the first half, and I think the forward exchange contracts related to Canada.
Kandimathie Ramon: Yes.
Gerhard Engelbrecht – Renaissance Capital: And then you mentioned currency translation losses of ZAR1.1 billion in the second half, yet the rand weakened. Can you maybe explain why there were currency translation losses in the second half?
David Constable: Christine?
Kandimathie Ramon: Yeah. I think there’s talks to the realization of the unrealized profit that we actually booked relating to the Canadian forward exchange contracts. And clearly, those would have had sort of different exchange rates factored in from that actually conspired in the first half compared to the second half. And starting clearly in the realization and the unwinding of debt coming through, that’s where we saw the reversal complete the first half. But I mean it clearly offsets each other, sort of really and neutrally big. I think there’s, clearly, I’ll have to give more detail on that. I think in the analyst book, we actually do disclose what’s open in terms of forward exchange contract. Can I get back to you on the actual number but they had various expiry date and their range lasts through to 2014. So clearly, one would have to take what exchange rates are applicable to the different year.
Raj Naidu: Thanks. Next up, Nishal. That will be followed by our last question from the floor, Nishal?
Nishal Ramloutan – UBS: Hi. Yes. Nishal from UBS. Just a couple of things from my head. So one is can you maybe just give an update in terms of what your plans in terms of upstream explorations? And maybe linked to that, would your acreage that you actually had in accrual, was stopping exploration? Have you given up that acreage? Do you need to reapply for that or you already hold that? And just maybe in Arya, could you maybe just give an update in terms of the difficulty in doing business in Arya. I see you say volumes or production is quite strong but are you able to ship that product quite easily out and are you able to actually tally that as global prices or are you just pricing that as a bit of a discount? And maybe just on CapEx. So for your CapEx profile for FY 2013 and FY 2014, can you maybe just indicate how much is for the growth project? And I see you make mention of some possible acquisition of gas assets, is that included in those figures?
David Constable: Okay, thank you. Let’s see, start with Lean, if you can tell us about the . financial upstream exploration and I’ll take . crude and then we’ll end from there.
Giullean Strauss: Our focus on the upstream is firstly in Mozambique. We are currently busy drilling a well in M-10. We hope to reach the target this, in this month. We’re also doing seismic on Block A in Mozambique. We continue to drill in (inaudible) where we have our oil production to sustain the production and obviously, we focus on Canada to further produce and derisk at Montney. We have one more asset in Australia, AC/P 52, but at this stage, we’re still doing seismic and we have – we will take a decision on drilling there or not probably early next year.
David Constable: Thanks, Lean. On the crude acreage, that was a technical cooperation permit we had between November 2010 and November 2011 with Chesapeake Energy and Statoil which we – . the desktops that is on for that that acreage, that block. And for technical reasons and economic viability, we decided to let that acreage lapse. So that wasn’t right in the crude, it’s in the crude basins that. As I said earlier, we’re extremely interested in getting involved in crude shale gas if we see that we can get the right best practices in place in the country and we’ll be looking at that very seriously going forward. Arya difficulties, let’s ask Andre to talk to that. Thanks, Andre.
Andre de Ruyter: Edward, thanks. I think the first point to make is that Sasol is very serious about compliance with sanctions legislation, U.S., EU and UN, and we regularly consult with the regulatory authorities in the U.S. to ensure that we do in fact remain compliant. We haven’t had serious challenges in terms of shipping out polymer products. It is still – we are still able to move out that product at market related prices. And you will see that profitability this plant is still – or this complex of plants rather, is still pretty good. On ethylene shipping, there are sometimes challenges in terms of insurance on vessels, but that is as a consequence of sanctions legislation being enforced against both insurers as well as ship owners. But all in all, I think we’re managing the situation. We are making progress on the divestiture process and that’s about all that we can say at this stage and further announcements will follow in due course.
Nishal Ramloutan – UBS: Thanks, Andre. And then on CapEx, ZAR32 billion and ZAR34 billion in FY 2013, FY 2014, that does not include any gas acquisitions upstream. But from a growth perspective, Christine can you break that down for us, please? Thank you.
Kandimathie Ramon: Yes. I think of the top for FY 2013 approximately about ZAR19 billion with the growth, and for FY 2014, ZAR22 billion with the growth project. And some of the big projects that – that does relate to is really some of the (inaudible) growth program CapEx that needs to be spent under the South African energy tester, and the international figures include the Canada CapEx and our recent debt about 9% of the total for both financial year. Those financial year approximately ZAR3 billion relating to Canada and then fairly driven by investment decisions Uzbekistan GTL and Canada GTL and USA GTL, and cracker projects included in the balance. I think partly important it is the wax expansion project that was also included in the capital spent here.
Nishal Ramloutan – UBS: You’re going to pay?
Kandimathie Ramon: You could ask him.
Nishal Ramloutan – UBS: Thank you, ma’am. This is to follow-up on that gas asset acquisition. Can you maybe give a bit more color on that?
David Constable: We’re certainly evaluating natural gas acquisitions, chemical acquisitions. We’re certainly looking into all opportunities out there. Certainly with North America in the situation it sits in, it certainly is an interesting region for us to look at. So we are on that track, but that’s the bit all I can tell you right now.
Nishal Ramloutan – UBS: Okay. A couple of questions, if you don’t mind. Firstly, I’m just trying to explore the linkages here. If you were to cancel your Canadian GTL either before or after the fees, what do you do with your upstream methods? Maybe you could just share of your strategy – strategic thinking about that.
David Constable: Yes.
Nishal Ramloutan – UBS: I’ll ask some other questions depending on your answer.
David Constable: And may I jump in here, but let me start with the fact that Canada is a 48,000-barrel a day GTL that we’re looking at and Lake Charles is a 96,000-barrel a day. So the cover on that with the current assets we have is about 60% – 66% (ph). So a good coverage on feedstock for – into those facilities. If Canada doesn’t go ahead, then we’re even more covered down in the U.S. and you could possibly look at that increase in the capacity down there. But that’s where we are right now. It’s a little too early to – if you want to look at it here at the end of the year holistically with all the projects we’ve got on our plays and we can make a decision to go forward on each of those.
Nishal Ramloutan – UBS: So, what sort of pricing do you apply to related to GTL field project, you haven’t exactly stitched up the upstream sources of your gas?
David Constable: Lean, you want to take that?
Giullean Strauss: We do all our economics on market related prices. So we don’t do cross subsidization between plants. Obviously, once we’ve done the investment and we have to integrate the plant. But we do our feasibility work on market regulated by prices for gas (inaudible) both Canada and Louisiana GTL projects.
Nishal Ramloutan – UBS: Okay, maybe you could share us a little bit as well with your power projects, the two power projects one obviously on Sasolburg and the other in Mozambique. The one down on Sasolburg, are you intending nearly to displace your current production from coal, electricity generation from coal, you have a contract with . Eskom and the same questions apply to a certain extent to the Mozambique projects.
David Constable: On Sasolburg, go ahead, Lean, if you want to take that.
Giullean Strauss: On Sasolburg, we can adjust reduced purchases from . Eskom so we do it on the alternative of buying in electricity base, economical part like the purchases from . Eskom and in the case of Mozambique, we plan to tell the electricity in Mozambique, so it’s – and then we will have purchase agreement from Mozambique.
Nishal Ramloutan – UBS: Okay, so what are you going to do with the power station in Sasolburg?
David Constable: The existing coal plant (inaudible)
Giullean Strauss: In the meantime, we plan to still took on operated for the longest if feasible.
Nishal Ramloutan – UBS: Right. Okay. Thank you very much.
David Constable: Right. Thank you. I’ll now hand over to the conference coordinator, we’ve got two participants wanting to ask questions.
Operator: Thank you. Our first question comes from Caroline Learmonth from Absa Capital. Please go ahead with your question.
Caroline Learmonth – Absa Capital: Thank you. It’s Caroline, Absa Capital, couple of questions, but I think some have already been addressed. On fixed cost increase, so we see you have your aspirations to keep cost inflation at or below PPI. And – but including elements of cost increases which are an integral part of your business, so your study costs, your position to the exchange rates. What would cost inflation look like for this year for Sasol and for Synfuels in particular? And then second question, on your Canada GTL, you’ve mentioned the piece that you’ve finished and you’re looking at whether to proceed. Can you give us some indication of why you haven’t yet made that decision? And then finally, just on the Synfuels’ production, so your reserve run rate of 7.6 million tons in the second half, but obviously looking at more conservative guidance for the full year next year. Is there a reason why that 7.6 isn’t sustainable? Thank you.
David Constable: Thanks, Caroline. Christine has talked about cost increases in the...
Kandimathie Ramon: Yes.
David Constable: In our aspirations below PPI and how that shapes out.
Kandimathie Ramon: Yes, I just need to say that clearly we spoke to a challenging cost environment and if one actually looked at what the budgeted exchange rates look like and clearly, also taking study costs into account, we are going to be challenged to meet PPI but we keep that as a target and we certainly as the group fixated as commitment, we’re doing very serious cost control and is improvising our business units on that as well.
David Constable: I think Caroline also asked the...
Caroline Learmonth – Absa Capital: Synfuels.
David Constable: Just a bit about Synfuels.
Kandimathie Ramon: Yes, and I’d like to include Synfuels in that comment.
David Constable: Okay. So Leon, on Canada GTL, certainly the feasibility – they looked encouraging by perspective, but we’re going to take a little longer into the end of the year as well. Can you give some color on that?
Giullean Strauss: Yes. Caroline, as David has indicated, we’ll also be completing both the GTL and practice studies in Louisiana by the end of this year. And then we’ll have to look at our portfolio. I mean, we’re in a perfect position that we have quite a few projects here in the pipeline. And I will have to prioritize and to see how can we execute it. We will have manpower challenges, so we will look at the portfolio and on that basis, decide which projects goes first and how do we stake at them behind each other.
David Constable: Thanks, Giullean. Of course, that 7 – Caroline, that 7.6 million ton run rate in the second half, of course, excluded any shutdown. And of course, we’re in a middle of a large space shutdown right now which will obviously affect our volumes in FY 2013. Bernard, any other comments on growth program construction that could have impact?
Bernard Klingenberg: Thank you, David. The other impact is that we’re implementing the . GHI kiosk this year which will have an impact as well on volumes.
David Constable: Yes, thanks.
Caroline Learmonth – Absa Capital: Thank you.
Raj Naidu: One more question on the line.
Operator: Thank you. Next question comes from Campbell Perry from Investec Securities. Please go ahead with your question.
Campbell Perry – Investec Securities: Yes, hi, good morning – good afternoon, everyone. So just starting with chemicals, Andre. Maybe just give us an indication what you wanted looking like so far because I’m just wondering what kind of – if it really is as soft as you say it is. And secondly in the South African polymers business, are you into discount prices, David, or – at the moment? And then in Synfuels, if all things being all equal, should you be earning better yields from gas input or coal input? And then very lastly at ORYX, versus the end of last year when we toured the facility, has there been any improvement in the premiums earned for diesel and NAFTA and – or has there been any adjustment in feedstock price? I’m just trying to get a handle on how economics might have changed at that project?
David Constable: Okay, we’ll start with chemicals in Q1. Any comments, Andre, on that?
Andre de Ruyter: Look Campbell, I think the position is still that until the Eurozone crisis is resolved and until consumer confidence is restored, we see that conditions will remain on the softer side. It depends however on the commodity that you manufacture. What we see is the more differentiated you are, the more immune you are to global demand fluctuating up and down. And that’s one of the reasons why we own (inaudible) business has been able to sustain operating margins through the cycle. The more commoditized chemicals businesses however have been exposed quite badly as you will have seen from the results.
Campbell Perry – Investec Securities: Yes.
Andre de Ruyter: You will also have seen in the press that the Chinese manufacturing sector is contracting. This is a major consumer commodity chemicals that we manufacture. So for the time being, we’re in the middle of a storm and we’re riding it out and managing what we can manage. In terms of discounting of polymers, what we are seeing in the polymer market is the entry of importers of polymers into the South African market. With these competitors, head on, we compete with them. We compete with them not only on price. We also offer a very significant substantial into our customers’ desirable technical support service, which our competitors do not. And therefore, we’re in fact able to charge a premium whilst still placing our volumes in the market. So no discounting to move volumes to the exploration. All right.
David Constable: Thanks. So just that, if you look at some of our peers or global chemical players in the marketplace and you look at their first half, operating income results, you see there, operating income down anywhere from 30% to 38%. So it was a tough first half and as you saw with our numbers, down 25%, so. Next question is on Synfuels. So Campbell, on yields from gas input or coal inputs, Bernard?
Bernard Klingenberg: Campbell, it’s Bernard. If I understand the question correctly, we did a lot of work to setting up the modulation and the ongoing basis to understand, where we get the most value. And in fact, until now and we foresee going forward, the value we extract from coal is in place and it’s always going to be attractive. And we augment that with gas supplies to the facility. And we saw that last year with one or two of the instability, we were able to bring in more gas and such (inaudible) either or it’s on top of one end cut back. And so we don’t cut back on coal but we’ve seen the gasification part of the value chain running very well with the new gasifier that we have. And so we’ll continue to extract the next values that came out of the coal value chain and we’ll augment that with gas.
David Constable: Thanks, Bernard.
Campbell Parry: Thanks, Bernard.
David Constable: The last, next – Campbell, the last question was on ORPS and on naptha. Lean, I think I’ll – I’d like you to answer that for me.
Giullean Strauss: Yes. Campbell, you – I think I appreciate that you’re asking from a commercial point of view information. Just on premiums, the constantly – you’ve visited the plant, no change there. And the feedstock of course is driven by commercial contract, which we don’t disclose. But they are escalations, and to which I think you can pick up from the end result.
Campbell Parry: Yes. All right, thanks, Lean.
Giullean Strauss: Okay, Campbell. Thanks.
Raj Naidu: Now thanks very much for all your questions. I think we have all the time that we have available. But we invite you for any refreshments, David and Christine and the management team, where you’ll have an opportunity to ask them further questions. So thanks very much.
David Constable: Thanks, everyone. Thank you.
Operator: Thank you. This does conclude the Sasol Year-end Financial Results Conference Call. Thank you for your participation. You may now disconnect.